Operator: Ladies and gentlemen, thank you for standing by. I am Gaily, your Chorus call operator. Welcome, and thank you for joining the Turkcell's conference call to present and discuss the fourth quarter and full year 2019 results. [Operator Instructions] The conference is being recorded. [Operator Instructions]At this time, I would like to turn the conference over to Mr. Korhan Bilek, Treasury and Capital Markets Director. Please, Mr. Bilek, you may now proceed.
Korhan Bilek: Thank you, Gaily. Hello, everyone. Welcome to Turkcell's Fourth Quarter 2019 Results Call. Today's speakers are our CEO, Mr. Murat Erkan; and our CFO, Mr. Osman Yilmaz. We have a brief presentation and afterwards, we will be taking your questions. Before we start, I would like to remind you to review the disclaimer of our presentation. Now I hand over to Mr. Erkan.
Murat Erkan: Good afternoon, and good evening. Welcome to Turkcell's Fourth Quarter and 2019 Results Call. 2019, my first year as Turkcell's CEO, has been marked by strong financial and operational performance, which has cemented our leadership. I am pleased to see that we pursue the right strategy for the future. With TRY 25.1 billion revenue, we were proud to be the largest revenue generator of the integrated telecom sector. We generated 18.1% yearly top line growth, which is 2% points above our closest competitor. Our growth differential has been wider in the fourth quarter. We are confident of leading sector growth in the future.At the bottom line, we recorded solid net income of TRY 3.2 billion, also the highest in the sector. Our profitable operation as well as successful financial management allow us to generate profits even at difficult times. Therefore, our shareholders face less volatility in profits and received dividends.A 10-year record of 1.5 million yearly postpaid adds and continued ARPU growth was instrumental in this performance. Of note, mobile ARPU growth was almost double the sector average. We are confident of maintaining our strong performance in light of the strategic priorities in our three-year road map.Next slide. Let me briefly compare our results with our guidance. We delivered what we promised. With 18.1% revenue growth and a 41.5% EBITDA margin, we met our guidance. The EBIT margin was slightly above the guidance at 21.4%. We continued our disciplined approach to operational CapEx, 18% of revenue went our mobile and fixed network, enhancing our superior network as well. This confirms our execution capability.Next slide. Moving to the fourth quarter results, good execution of our customer-centric strategy led to a record performance. This quarter, we generated TRY 6.7 billion of revenue on 18.8% growth.We have outperformed our peers in the integrated telecom sector. We had around one million postpaid net adds and their share rose to 62% from 56% a year ago. At the same time, mobile and fiber ARPU increased at record levels. With TRY 2.8 billion of EBITDA, our EBITDA margin was 41.2%. Net income was at TRY 756 million.Besides higher EBITDA as well completed bulk of to the LTE investment, we have increased our cash flow generation capabilities significantly. This resulted in a nearly TRY one billion free cash flow in Q4.Next slide. Now some further detail on our financial performance. We recorded a TRY 25.1 billion top line and TRY 10.4 billion EBITDA in 2019. Our EBIT reached TRY 5.4 billion with a 21.4% margin. Net income saw an all-time high of TRY 3.2 billion on a 60.6% increase. Fourth quarter net income was negatively affected by TRY 199 million settlement with the tax authority.Next slide. Let's look into our operational performance. In the fourth quarter, postpaid subscribers rose by 984,000. This outstanding performance confirmed our determination to gain one million subscribers each year. Blended mobile ARPU rose to TRY 45.9 on a 22.7% increase with upsell to higher tariffs, positive change in subscriber mix and rising data usage. This performance reflects our micro-segmented approach and analytical capabilities.As discussed, in the third quarter, the Easter required all operators to deactivate lines, lacking residency documentation by the six months of subscription. This impacted the whole sector where our share of foreign subscriber is the largest accordingly, we deactivated 1.9 million prepaid lines. 80% of these were generated less than TRY five ARPU. Excluding this regulatory impact, our mobile subscriber base rose by TRY 0.7 million in 2019.Excluding the impact of regulatory action and involuntary line deactivation at year-end, monthly mobile churn was at our comfort level of around 2%. On the fixed broadband front, our fiber subscriber base rose by 29,000 net additions. Residential fiber ARPU grows at an all-time high of 21%. This was mainly due to the renewed offer, upsell performance and price adjustment.Next slide. We believe that a balanced combination of net adds, ARPU and churn management is vital for sustainable healthy growth. This year, we strengthened our market position by shifting to a more valuable portfolio of higher postpaid subscriber in the total base.Notably, the lifetime value of postpaid subscriber is three times that of a prepaid one. The share of postpaid subscriber is at a remarkable 62% as of 2019 end. As such, in the quarter, we gained 984,000 net postpaid subscriber, marking a historic high. Meanwhile, at 20%, we continue our growth trend in postpaid ARPU.This expected trend was communicated to you in previous quarters. Growing ARPU and net addition at the same time confirms the validity of our smart pricing strategy based on big data. Going forward, we will continue to focus on growing our subscriber base, particularly the postpaid component.Next slide. Now a few words on our fixed wireless access product, Superbox. Superbox has become a preferable alternative for customers who are not satisfied with ADSL service particularly, where there is no fiber access. Given its superior user-experience, Superbox quickly gained popularity. Superbox ARPU is twice that of fixed broadband ARPU. This confirms that customers appreciate the value of the service. At the end of 2019, Superbox subscriber had exceeded 300,000, 10 times last year's numbers.Next slide, and now an update on data usage of usage and 4.5G subscription trends. Average mobile data usage rose 53% in a year to nine gigabyte per user. We observed growing data demand from 4.5G as well as non-4.5G subscriber. The main factor driving this 9-gigabyte usage or greater data consumption among all user and the rising share of 4.5G users. Out of 30.7 million customers sign up for 4.5G services, 19.2 million have 4.5G-compatible smartphones, still indicating room for growth. As of the year-end, we had reached 76% smartphone penetration, with 87% being 4.5G compatible. The other 1.3 1.2 million net addition of 4.5G-compatible smartphones.Next slide. I am here for customer, what our motto for 2019. In every action, we aim to create positive experience for our customers to enhance their journey with Turkcell. By analyzing multiple data points, we better understand our customer and their needs. By processing real-time customer data with over 200 scenarios, we get in touch with around 2.4 million customers every day through different channels.This allows us to diversify our offers on a segmented and regional basis and make the right offer to the right customer at the right time. All these efforts have been instrumental in customers' recommending Turkcell over the competition.Next slide. As already disclosed, we are focused on three strategic priorities for the next three years. We recorded milestone for each of these during the years. And here are some highlights. In digital services, we proud to launch Turkey's email provider YaaniMail for customers, develop in-house YaaniMail offers users advanced security features.Data generated on the platform is securely stored at our data centers. Similarly, BiP Multicloud is offered to corporate and carriers as a secured communication platform. Our customer will be able to keep their data at their own data centers. Also we advanced the use of AI in digital services, such as TV, fizy and Dergilik to offer personalization. This has helped to increase their usage. Lastly, we met our target of TRY one billion stand-alone revenue from digital services.Next is our digital business solutions. This business saw 44% growth in 2019 through tailor-made end-to-end IT solution for corporate. A backlog of TRY 1.3 million in existing project is promising for the growth ahead. Our payment service platform Paycell is expanding its user base and merchant points. We observed two times higher bill payment volume and around 24% higher payment for digital content. Paycell Card is increasing in popularity, generating four times higher volume year-on-year. This year, we will advance our services in these areas and continue to share our performance regularly with the market.Next slide. Let's look at our performance on the International market. Turkcell International generate 8% of group revenue. These operations grew by 33% year-on-year in Q4, mainly non-rising data demand in addition to the impact of currency movements. For the full year, growth was at to 37.5%. In local currency terms, the growth rates were 18% and 16% in Q4 and full year, respectively.As we began to capitalize radio frequency usage costs in the fourth quarter of 2018, this cumulative impact has led to a one-off rise in EBITDA at one at a time. On a yearly basis, like-for-like EBITDA margin growth in Q4 was at 1.7% points. In 2019, our subsidiary in the Turkish Republic of Northern Cyprus saw strong 23% growth, with the rising contribution of fixed services and the corporate sector.Next slide. We note the rising importance of the sustainability in every aspect of our business. And so we take first step by pursuing the best practices. Osman, our CFO, joined UN Global Compact CFO Task Force to share ideas and develop principle for investments for sustainable development. We believe that CFOs play a critical role in ensuring the Company's adopt sustainable to practice.Recently, we announced a set of AI principles that commit to the ethical and responsible use of AI. Turkcell marked another first with its contribution to these initiatives. Additionally, Turkcell appointed their Data Protection Officer, tasked with implementing effective and focused data management. In order to achieve a better and more sustainable future for all, we are committed and contributed to the UN Sustainable Development Goals.Next slide. On my last slide, I want to share our full guidance for 2020. In short, the 2020 guidance is in line with the three-year guidance laid out at our 2019 Capital Markets Day. Expecting subscriber and ARPU growth at the rising contribution of focus areas, we target 13% to 16% top line growth.Please consider the discontinuation of the sport-betting business and expect the contraction of financial cell have an estimated 1.5% point negative impact on growth in 2020. This is already incorporated into the guidance. As to profitability, we aim at 39% to 42% EBITDA margin and 18% to 20% EBIT margin. We will continue to invest in our infrastructure while keeping the operational CapEx to sales ratio at 16% to 18%.I now hand over the floor to our CFO, Osman.
Osman Yilmaz: Thank you, Murat. Now let's take a closer look into the financials. In the fourth quarter, group revenues rose 18.8% year-on-year, corresponding to an incremental TRY 1.1 billion. Of this increase, TRY 990 million comes from Turkcell Turkey, thanks to strong ARPU. For the full year, group revenues rose 18.1% year-on-year to TRY 25.1 billion. Turkcell Turkey revenues increased by 18.8%, contributing TRY 3.4 billion. International subsidiaries contributed TRY 546 million, thanks to increased data consumption and the positive impact from currency movements.Meanwhile, due to a decline in the loan portfolio, financial revenues contracted by TRY 45 million. Excluding consumer finance business, group growth would have been 1% point higher. Also our exit from Inteltek & Azerinteltek operations also impacted the top line negatively by 2% points.Next slide. Overall, the rate of Turkcell Turkey in group revenues increased by 1.5% to 85.9% in the fourth quarter. The decreased contribution from consumer finance business was evident in a 1.4% point decline to 3%. And similarly, the impact of discontinued betting operation is visible in the fourth quarter picture, leading to a decrease in other segments contribution to the group by 2.7%. We will continue to see these two effects in 2020, which are already factored into our guidance.Next slide. In the fourth quarter, EBITDA rose 23% year-on-year to TRY 2.8 billion. The EBITDA margins were a 1.4% point improvement. The factors affecting the change in EBITDA margin, gross margin decline of 1.7 %point, opex improvement of 3.3 % points, an increase of doubtful receivables of 0.4 % points. Within opex, G&A expenses improved by 0.2 % points, thanks to rising revenue and cost control. Sales and marketing expenses improved by 3.1 % points, which was attributable to last year's above-average level.Turkcell Turkey was the main driver in margin improvement, with it's 3.8% % point increase. As a result, the quarterly group EBITDA margin was 41.2%. EBIT increased by 41.7% year-on-year to TRY 1.3 billion with a margin of 20.2% points.Next slide, now more color on our free cash flow generation capabilities. Our operations generated TRY 10.4 billion of EBITDA in 2019, up 19% from the previous year. Besides higher EBITDA, as we completed the bulk of the LTE investments, we have increased our cash flow generation capability significantly since the mid of 2018. Accordingly, we generated TRY 2.4 billion free cash flow this year. Of note, this figure does not include proceeds from Fintur sale. We aim to continue to generate positive free cash flow in the following years.Next slide. Now let's take a closer look at our techfin companies' performance. In Q4, our payment services company, Paycell, continued to expand its reach-and-service portfolio with new campaigns and launches. Over 4.5 million customers made use of Paycell products and services in Q4. Revenue growth was robust at 77% year-on-year. At Paycell, we met our full year target levels disclosed in November.The transaction volume reached TRY 5.7 billion, with revenues of TRY 252 million. Meanwhile, our consumer finance company Financell revenue was down 18.7% in Q4 on a shrinking loan portfolio. The EBITDA margin improvement by 13.4 % points in Q4 was mainly due to a lower cost of funding. Cost of risk grew slightly to 3.2%, still below the market average for general purpose loan while loan insurance penetration was at 98%.Next slide. Now a few words on our balance sheet and leverage. Our leverage was stable as we made TRY one billion of dividend payment and seasonally higher CapEx. In Q4, we generated TRY 0.9 billion of free cash flow. As of Q4, net debt was TRY 10.1 billion with a onetime leverage ratio. Excluding the consumer finance business, this was at 0.8 times. This is the lowest in the sector.Next slide. Lastly, I will go onto the management of foreign currency risk. We improved our FX position to loan level over the years. We continue to hold bulk of our cash in hard currency as a natural hedging tool. With hedging instruments in place, the share of FX debt declines from 80% to 40% as of the year-end. Our net FX gain in Q4 was TRY 17.7 million, thanks to our loan position of USD150 million. We aim to keep our FX position neutral in the coming periods. This brings us to the end of our presentation. We are now ready to take your questions. Thank you.
Operator: [Operator Instructions] The first question is from the line of Cabejsek Ondrej with UBS. Please go ahead.
Cabejsek Ondrej: Hi, thank you, a couple of questions for me, please. Firstly, on the CapEx guidance. If you could just explain why the range 16% to 18%? In the previous years, I think, you were guiding for a more precise number. So what would determine whether we end up closer to 16% than 18% next year? And then a question on the consumer finance company when, again I guess, this is going to be in 2021, again, does this become a drag on working capital? And what is the outlook then for the sort of free cash flow levels for 2020? Because if I look at your 2.4 generation in 2019. I think, 1.7 or 1.8 was actually driven by the consumer finance company unwind. So what is the outlook for free cash flow based on the normalization of the loan book going into 2020? Thank you.
Murat Erkan: Okay. First of all, for the CapEx guidance, we I mean, this is mainly our practice to give kind of range between two % points. And then during the year ago, we come to the more precise numbers, and then we share the exact numbers. So that this is our practice, mainly for the CapEx guidance. For the financial things, I think, the portfolio getting narrow and narrow during the first half of the year, and then we will recover second half of this year. At the end of the day, we will have almost even level in terms of free cash flow.
Ondrej Cabejsek: And so what level, sir, do you expect this to stabilize? Now that, I guess, we're approaching that turnaround point? And then do you expect this loan book to grow in line with revenues or faster than revenues? Or how would you think about that from that point on?
Murat Erkan: I think we're going to end up around TRY 2.5 billion range, the portfolio range.
Ondrej Cabejsek: And then the growth, once that stabilizes, you expect it to grow in line with the top line? My last, again.
Murat Erkan: First of all, probably, we're going to have similar growth in 2020. And then after 2020, we will start growing in a mature and regular way, in line with the guidance, yes.
Ondrej Cabejsek: Alright thank you very much.
Operator: The next question comes from the line of Degtyarev Slava with Goldman Sachs. Please go ahead.
Slava Degtyarev: Thank you for the presentation. Can you elaborate on the progress of our portfolio simplification initiatives? Do you see certain upside across your tower, fixed or payment business to somehow crystallize throughout 2020? And secondly, would you expect prepaid subscriber base to be restored anyhow throughout this year? Thank you.
Murat Erkan: For tower, we joined the Infrastructure Initiative. I mean, for all parties, we are working hard to find a way. As you know, there are three players on this aspect, and it is not easy to come to the final decision. The regulation authority is supportive on the sharing model. And we are discussing several models and there are details to be sort out. Yet, we are more optimistic than before, I would say, on this level. Could you repeat the second question? Sorry, I couldn't get the second question.
Slava Degtyarev: Yes. Also a bit of a first question as well. So you mentioned on the tower business. But maybe you can somehow comment on the fixed business and payment business as well, so any value crystallization there? And secondly, with regards to the prepaid subscriber base following the disconnection in Q4, do you expect some of that to be back in your subscriber base in 2020?
Murat Erkan: To be honest, these are the subscribers, mainly coming from abroad to Turkey. So we do see some of them is going to come back or they're going to utilize some of the existing lines. So I think not 100%, at least 20%, 30% of them will come back during the year. For the other question, it really depends on the market condition. I don't think we're ready to do this. But when the market rationalize, we'll start exploring that part.
Operator: The next question comes from the line of Ibragimova Dilya with Citi. Please go ahead.
Dilya Ibragimova: Hi, This is Dilya, from Citi. I had a couple of questions and one follow-up on the question that has been asked earlier. The first question is on revenue and EBITDA guidance? And similar question to Ondrej's. Why the range is so wide that, I mean, usually definitely wider than you have been giving in the past. Where if what are your assumptions for maybe lower end, and similarly, at the higher end of the guidance, both for on an inflation and maybe GDP growth or consumer growth?Then second question is on consumer finance. I just I may have missed it, but you mentioned that you expect the loan portfolio to start growing again. I just wanted to clarify. Whether that would be growth supporting your postpaid customer base growth by the devices that you may be financing? Just or maybe if you could give some insight what the driver for the growth in loan book, again, that what you expect? Yes, I think that's it. Thanks
Murat Erkan: Okay. Thank you very much. For the first question, I do see that there are some questions around the guidance. Let me clarify a little bit on the guidance side, why we gave such a range. We disclosed on medium-term guidance in November during our Capital Market Day. We confirm this figure for 2020 as well. Please note that 2012 will also be impacted by ongoing slowdown in consumer finance business and the discontinuation of sports-betting business, which has an estimated 1.5 % point negative impact. This is incorporated in our guidance. Also, 2020 inflation expectation has come down in the market since we announced these targets.Therefore, keeping the same nominal growth target means an improvement in real terms. Furthermore, we expect to see more clarity on local and macroeconomic environment in the upcoming periods, which will enable us a better assess our guidance. For the finance loan business. First of all, as the regulatory authority decision, we do see some shrink on the loan area. We already started working on other businesses. So but we will probably recover after six months happen.For the second half, we will start giving credit and loans to fixed line customers, corporate customers, small-to-medium customers, so that we can enable our Financell business in wider area with the more portfolio. So we don't expect change on the regulatory authority decision. So we'll find other ways to grow the business. And we have opportunity in small-to-medium business, fixed line business and other areas. And also, we are able to grow our subscribers without increasing handset sales, and this is stronger in the numbers. So it may not help, but it is not a significant aspect of increasing subscriber base.
Dilya Ibragimova: Can I just ask one follow-up question one question on postpaid, one little one? It the strong ARPU growth that you've reported in postpaid. Even though the subscriber base have also grown a lot year-on-year, I think, it's over 1.5 million customers that you've added. What in that growth, maybe you could break down for us how much of that is driven by upsell? And how much of that is driven by pricing? And whether you have been able to put any price increases to over the existing customer base, whether that's possible? And whether there is something that may be happening in there as well? So I'll say, if I'm existing postpaid user on the tariff, you would raise price for me while I'm still on the same contract?
Murat Erkan: Yes. First of all, there are multiple areas that we focus to increase ARPU and increase customer base. We recorded all-time high mobile ARPU, excluding machine-to-machine by the way, growth of 2.7% year-on-year in Q4 in 2019, driven mainly by a favorable customer mix, upsell efforts, increased data consumption and price adjustment. Moreover, inflationary pricing policy is a key pillar of our business model, and it has played an important role in achieving strong ARPU growth. Due to the contracted nature of our business, our price actions are reflected in ARPU with a lag. This has been evident in both mobile and fiber residential ARPU trends since the beginning of the year. We have been communicating our like-for-like ARPU over 20% in Q2 and Q3 as an early indicator of this performance. For the existing customer price increase, actually, we do see such a comment from other people.First of all, we listen our customer. We prefer to focus on our business. With the action we take, we are continuously improving our net adds. At the same time, we have better churn. Also, we have better Net Promoter Score. We focus on creating higher value and richer experience to our customers by offering differentiated products and services. For instance, we offer our customers our Superbox product who are not satisfied with the quality of ADSL services, particularly in the region where there is no Turkcell fiber access. For the commitment side, I would add an additional things that I think we need to note that commitment can be given in a different format. It doesn't necessarily mean that they should only be based on pricing. They can also be related to the content, providing an offering like data usage, etc. Thank you.
Operator: [Operator Instructions] The next question is from the line of Mandaci Ece with Unlu & Co. Please go ahead.
Mandaci Ece: Hi thank you very much for the presentation I have a couple of questions, if I may. One is on your one-off tax expense on your other expenses. As far as I know, you had TRY 120 million settlement with the tax authority that you have disclosed by the end of December. And in addition to that, there was one other point from the competition authority, did you book that amount in the fourth quarter, that TRY 61 million amount? That's my second first question. The second question is about the breakdown of your corporate and consumer revenues. You haven't provided the absolute number there, but you just provided the growth figures. Would it be fair to assume that your corporate revenues represent like 18%, 19% of your Turkey revenues?That's my second question. And the third question is about your financial expenses or FX losses. We are seeing a substantial decline on that front. For the first quarter or the first half, could you please provide some insight concerning the recent TL depreciation and a slight pickup in the swap costs? Thank you very much.
Murat Erkan: First of all, thank you very much for the questions. Regarding tax settlement, dispute on SCT and the VAT on bundles and some services for 2016 was settled for TRY 122 million. And this was announced early January 2020. We also settled special communication tax dispute regarding prepaid cards sales from by distribution for fiscal year 2015 and 2016 for TRY 77 million. These two disputes were previously disclosed in our IRS report. Regarding TRY 61 million competition authority penalty, we decided to take legal action because we believe that we have a case over there, so we didn't book that TRY 61 million. For regarding consumer corporate, to be honest, I think we can share the results. But let me tell you, regarding Corporate segment, it is 18% of the total revenue of Turkcell Turkey. 1-8, by the way.
Mandaci Ece: Great. And the last question on the financial expenses or FX losses?
Murat Erkan: Let me give you the word to Osman. He can give more clarification on the financial expenses.
Osman Yilmaz: As you see in our detailed financials, in Q4, where Turkish lira depreciated more than 5% against U.S. dollar and euro, our loss on FX was almost flat. Actually, we booked TRY 70 million TRY 17 million profit from FX. It shows that we are not affected by FX movements due to our FX position on our balance sheet. As of the year-end, we have 150 about TRY 150 million loan position on our balance sheet, so we are not much affected by these fluctuations. Recently swap rate inched higher in the market. But it does not necessarily affect us, because we did most of our hedging transaction last year, but it will inevitably affect the new hedge transactions, but we are not in rush to get to the market to the new hedges. So you will see it in the first quarter, again. We will not be much affected from this change in the market.
Ece Baysal: Thank you very much
Operator: The next question is from the line of Vengranovich Alexander with Renaissance Capital. Please go ahead.
Vengranovich Alexander: I have a follow-up question on your FX position and the outlook for this year. So obviously, you turned into more or less like a neutral FX position now, which is mainly driven by the hedges you have. Do you think you might be considering just exactly increasing the share of your Turkish lira-denominated loans and decreasing the natural share of the foreign currency loans just to avoid the cost of the hedges in the future, as the interest rates in Turkey are getting more affordable in local currency? Do you think it might be the option you're going to use this year going forward, if the rates continue to go down? Thank you.
Osman Yilmaz: Actually, in Turkish lira market, it's not always possible to find long-term borrowing opportunities. Lira loan market is relatively short-term, up to one year. And as we are investing for the long term, we seek long-term funding and long-term funding is unfortunately only available in hard currency. So we will be seeking, again, long-term hard currency to loans. But for our consumer finance business, we have significantly decreased the share of FX borrowing, and now we are seeking Turkish lira borrowing, which is very favorable at the moment. We are always seeking the best opportunities and the best ways of funding for our balance sheet purposes. In the remainder of the year, we will again seek long-term borrowing at relatively more favorable cost to the Company.
Vengranovich Alexander: Okay, got it. And the second question on your mobile business and the level of the competition that you might expect this year. If you look at the subscriber data, obviously, Vodafone Turkey, like losing the market share. Do you feel there might be some push from their side this year to recover the market share, which might be somehow affecting your churn levels and the subscriber base and potential necessity that might be offering more affordable tariff for the customer? Or you think they're going to remain more passive player on the market? Thank you.
Murat Erkan: First of all, obviously, we don't want to comment on the our competition behavior, we more focus on our initiatives, our strategy, our focus higher-value customer. But specifically, we do see that this is happening, and this has been happening for a while. So and I do see we are quite ready to such an attack, such a behavior in the market. And we have concrete plan. We have concrete infrastructure. We have intelligent data, and actually, we will provide more value than just the mobile business to our customers. So I think, we are in a strong position over there. But this is not going to happen. This is already happening, by the way.
Operator: [Operator Instructions] We have a follow-up question from Cabejsek Ondrej with UBS. Please go ahead
Cabejsek Ondrej: Two follow-up questions for me, please. One on if I look at your balance sheet and free cash flow, so in 2019, you finally managed to sell Fintur. You had the big unwind of the consumer finance company. And so how does or do those things including the fact that you finally broke-even on free cash flow organically, do those things change the way how you think about payout proposals going forward? Are you going to be expecting more from the management than just the 50% than we've had in the previous couple of years? And then the second question on the consumer finance company, EBITDA margin. How does that evolve going forward, given the falling rates environment. Does is it rational to expect the contraction in the margin there as well?
Osman Yilmaz: Okay. Obviously, the consumer finance company's unwinding contributed to our free cash flow generation. The unwinding amount was around TRY 1.6 billion, which contributed significantly the cash free cash flow number, which was TRY 2.4 billion for the full year. But going forward, there will be a slower contribution from consumer finance company. Into the first half 2020, we will see additional working capital inflow from unwinding of consumer finance business, which is roughly around TRY 400 million to TRY five million TRY 500 million. But from Q3 onwards, we will see we will see growth coming back to our consumer finance business mainly driven by new businesses, including corporate and residential segment.And also, on EBITDA margin side, we expect EBITDA margin to keep stable in the first half of the year and downfall gradually because net interest margin is widening in this business, thanks to the sharp fall in interest rates. As you might recall, the interest is the cost of borrowing, the local market was as high as 24% during the first half of last year, and now it is below back to below 10%. So it is positively impacting the EBITDA contribution from the Company.But as the rate markets stabilize, we will see lower contribution due to shrinking portfolio. On the dividend side, our general assemblies procedure is to distribute at least 50% of the net income and looking over the last five years, our payout ratio has been slightly above 80%. So given that our free cash flow generation capability has increased over the years, it is very natural to expect 50% to 80% payout, given the balance sheet and given the past behavior of the general assembly. So we are relatively more optimistic on dividend compared to previous years, I can say. Maybe if you may add, Murat, please?
Murat Erkan: I completely agree with Osman. We hope to see from general assembly to make it the such a decision. We have stronger and strong balance sheet and the capability of to pay amount, which is to be approved by the general assembly ready to pay actually.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Turkcell management for any closing comments. Thank you.
Murat Erkan: I would like to thank all of you joining our conference call. I hope everything is going to be OK for everyone. Thank you very much.